Operator: Good morning. Welcome to OTI’s Second Quarter 2015 conference call. My name is Shane. I'm will be your operator this morning. Joining us for today’s call is the company’s outgoing CEO, Ofer Tziperman; CFO, Shay Tomer and OTI's CEO Elect, Shlomi Cohen and OTI's General Counsel and Secretary, Arie Rubenstein. Following their remarks and before we conclude today’s call, I’ll provide the necessary cautions regarding the forward-looking statements made during this call, as well as information about the company’s use of non-GAAP financial information. I’d like to remind everyone; this call will be recorded and made available for replay via the link available in the Investor Relations section of the company’s website at www.otiglobal.com. Now, I’d like to turn the call over to Mr. Ofer Tziperman. Sir, please proceed.
Ofer Tziperman: Thank you and good morning everyone. The second quarter was in line with our expectations with meaningful progress on our key corporate initiatives. This includes securing new strategic partnerships, driving sequential top line growth and generating greater operating efficiencies to continue our march towards profitability. From a sales perspective we continue to expand our key global partnerships and distribution channels including securing two new channel partners. Before I go further into the detail, I would like to turn the call over to our CFO, Shay Tomer who'll take us through the financials for the second quarter. Then I will return to provide an update on our operational progress in key markets. Afterwards, Shlomi Cohen, the company's CEO elect, will discuss his key initiatives and objectives. We will each address the questions we received from investors and analysts. Shay?
Shay Tomer: Thank you, Ofer and welcome everyone. Before the market opened on Tuesday, August 6, we issued the results for the second quarter of 2015 in the press release. A copy of the release is available in the investor relations section of our website. As we reported in the press release, our revenues for the second quarter increased 8% to $5.4 million from the previous quarter and decreased 25% from the same year ago period. Now, breaking down Q2 total revenues by sales and the percent of total revenue, retail and mass transit ticketing revenue was $3.6 million or 67%. Petroleum revenue was $955,000 or 17%. MediSmart and access control product revenue was $444,000 or 8% of total revenue and finally [parking] revenue was $409,000 or 8%. Looking at Q2 revenue by geographic region and the portion of each region’s contribution to total revenues, North America accounted for $2.6 million or 47%. Europe accounted for $1.5 million or 28%. Africa accounted for $855,000 or 16%. Asia and Israel accounted for $335,000 or 6%, and finally South America accounted for $162,000 or 3% of total revenues. Gross profit increased 8% to $2.7 million or from $2.5 million or 50% of total revenue in Q1 2015, and decreased 18% from $3.3 million or 46% of total revenue in Q2 2014. The trend in the increased gross margins compared to 2014 is a result of the decrease in construction material for the production of our retail quarter as part of our continuous manufacturing cost reduction efforts. Our operating expenses for Q2 2015 were $4.6 million up 7% from the previous quarter and down 13% from the same year ago period. The year over year decrease was attributable to a decrease in general and administrative expenses, selling and marketing expenses and R&D expenses, partially offset by other expenses due to the recent management changes and other non-recurring expenses. The operating expenses excluding such other expenses amounted to $4.1 million which represents a decrease of $1.2 million compared to Q2 2014 mainly due to the cost cutting planning we did at the end of 2014. Our net loss on continuing operations for the second quarter of 2015 totaled $2 million or $0.05 per share. This compares to a net loss from continuing operations of $2.3 million or $0.07 per share in the same year ago period. Our adjusted EBITDA loss from continuing operations totaled $683,000. This was an improvement from an adjusted EBITDA loss from continuing operation of $1.1 million in the [previous] quarter and $1 million in the second quarter of 2014. We believe that adjusted EBITDA from continuing operation should be considered in evaluating the company's operation since it provides a clear indication of OTI's operations results. This improvement of cutting our EBITDA loss compared to Q2 2014 was accomplished despite our decrease in revenues which was totally offset by improving our retail segment gross margin and the significant decrease in the operating expenses. Now turning to the balance sheet. Cash, cash equivalence, and short term investments at June 30, 2015 totaled $14.4 million. This completes my financial summary; I would like to address the financial related questions received from investors. The third financial related question is from Josh Elwin of Fels and Company who ask, what was the other expenses in the adjusted EBITDA calculation. Thanks for the question Josh. The other expenses which were eliminated as part of the adjusted EBITDA calculation consisted of partial compensation expenses provision related to the termination of employment of outgoing CEO, Ofer Tziperman according to his employment terms. It also consisted of non-recurring consulting fee as part of our strategic review. Josh's next question. Please let us know how much revenues the company generated from retail sales and the year ago comparison excluding wave, mass transit and others. Please provide a description of why the year ago comparison was up or down. If possible please provide a framework for how to think about the opportunity to grow retail sales over the next several quarters. Revenues from retails are reflected in the retail segment of our quarterly reports. They remain stable with no material change in the year ago comparison and continues to be our most revenue source. Looking ahead we are currently very optimistic regarding our potential retail business growth in the US, EU and A-Pac retail market which we expect to be our growth engine in the coming quarters. Josh's next question. Are your retail sales seasonal? Should we expect revenue from retail sales to follow a similar pattern to new connections announced by your largest customers? Josh, in general we don't have clear seasonality in our retail sales mainly in the US and almost the same pattern with customers. Josh would also like to know, what is your outlook for achieving cash flow breakeven? We're not providing guidance on any specific numbers, however we're monitoring our cost structure on an ongoing basis while trying to better align it with our expected revenue level in order to improve the cash burn. Our next question comes from Mark Sisk of Sisk Investment Advisor. Mark's question is actually twofold and related to the comments he made earlier while he is presenting his question with stated. I don't condone this format of the conference call and in my opinion it is only negatively impact the stock price. I'm asking this question because I felt you gave a disingenuous answer to [indiscernible] question on the last conference call in regards how much money the company has gone through since the new board has brought in to write the shift. Your answer was $12.6 million excluding the proceeds of the offering in November 2014. So, let me ask the question again. Including the proceeds of the secondary at the end of 2014, the diluted all out cash shareholder, how much cash the OTI inbound through 2013, 2014 and the first two quarters of 2016? This period covers the amount of time, with the present board who were supposed to bring this change has been in charge. How did you spend all this money? We appreciate your concern and question, Mark. In the previous call I especially excluded the proceeds from the offering in order to show the realistic status of the cash burn in that period from continued operation and discontinuing operation, and such cash burn was $14.1 million as of the end of Q2. [Indiscernible] your question including the proceeds from the offering in November 2014, the cash burn over the last 2.5 years was $3.65 million. The use of this cash was mainly to support our ongoing operational activity as well as the proceeds we had in the past 2.5 years to maximize the value of our IP. Our next question from Nick [indiscernible], who asked, with NFC readers required by U.S. merchants on October 1, 2015, why is OTI not wrestling increase itself? Sales should have accelerated tremendously during this period with the all out of the NFC payment, why has this not accrued? Nick, the October 1st, you will pay Master Card Visa or EMV mandate, caused from merchant readers to be able to support contract EMV chip card. It's not necessarily an NFC contact list mandate. However we have seen accelerate of OTI sales in the retail markets mainly in the U.S. over the past two years, particularly in the past year. [We actually view] this acceleration and OTI taking the leadership position in supplying readers to the North American vending market to the introduction of Apple Pay about 10 months ago and not necessarily only through the upcoming EMV mandate to be applicable in October 2016. In addition with the introduction production of AndroidPay and OTI's support for Google's payment scheme we expect this plan of robust sales to this segment to continue with the endorsement of these two giant companies in support of NFC based mobile payment. Our next series of questions from Mike Latimore with Northland Capital. Mike asks, do you still expect well for this year. Mike at this point of time we're trying to meet our targets for the end of 2015 fiscal year. Mike's next question, is 50% gross margin still a reasonable level to think of going forward? We're working to improve our gross margins particularly in the retail segment, going forward I think 50% is a good [bulk up figure] for our gross margin but it might fluctuate quarter-to-quarter depending on revenue mix. Mike's next question, any initial sales of CONNECT in this quarter? Self CONNECT prototype installation took place in the second quarter and we are gearing for the first commercial shipment starting in Q3 once all tests and necessary stages are concluded. Mike asked, will the volume segment be a key to the second half goals? Yes, we expect that the volume segment should definitely be one of our growth engines for the next quarter. Mike's next question. Did WAVE contribute to quarter? We have couple of WAVE pilots for multiple transit applications, however they were not material contributor to revenues in the second quarter. And other question from Mike, is Uno and TRIO contributing to revenues likely to be material in the second half? Mike, while we do not retail specially to the contribution of any specific product I can certainly say the TRIO is expected to be successor of our 6,500 dual interface product. We also believe Uno will be a major product for the industry for a contactless only retail with a small form factor and attractive price is required. Mike asked, did you have a 10% customer in the quarter? Yes, Mike, we had two customers of 10% each. Another question from Mike, any estimate of cash used by eLEND? As we've said before we're monitoring our cash position on ongoing basis and as you can see in our quarterly report cash was used in operating activities decreased by $4 million in the first half of 2016 compared to last year. Mike's last question was, should license and transaction fee be relatively stable going forward? Generally asked, however investors should know that most of our recurring revenues are in currencies other than the US dollar. In the last six months the Israeli shekel, the South African rand, and the polish zloty devaluate versus the US dollar compared to 2014. Without this forced impact our quarterly revenue reported was [indiscernible]. Those are all the financial related questions we received. I would like now to turn the call back over to Ofer. Ofer?
Ofer Tziperman: Thank you, Shay. During Q2 we continued to make progress across all of our vertical segments, particularly retail segments. We furthered our sales effort by engaging with more and larger prospects in the US and globally. This included tapping new geographies like Japan as well as new end markets like ATM and gaming industries. It has become more apparent that the market awareness for NFC cashless payment solutions is growing fast. We are working to ensure that OTI becomes a leading supplier of NSC reader for their unattended and self-serve market in these key regions and end markets. In step with this we are exploring additional opportunities for their attended market with our local business partners. Along those lines our success on these key initiatives was demonstrated by the two major strategic partnerships we formed during the second quarter. In June we partnered with Billing System Corporation a leading Japanese payment service provider. Billing System selected OTI as its NFC solution provider and will introduce our suite of NFC based cashless payment readers and devices to Japan's retailers, vending machine operators and other unattended and attended segments. The Japanese market presents a huge opportunity for OTI's technology, in fact there are millions foreign travelers visiting Japan annually with analysts expecting a surge in visitors in the coming years driven by the Rugby World Cup in 2019 and Tokyo Olympics in 2020. However Japan's current cashless payment infrastructure is unique to the domestic market and is not compatible with international NFC and EMV services. Our collaboration with Billing System is timely given the current state of the Japanese market. NFC has emerged as the solution of choice for all the major payments schemes and with practically no NFC infrastructure currently deployed in Japan, this is the ideal time for OTI to enter the market with our widely certified product offering. The payment scheme incompatibility has become a problem for foreign travelers as more consumers are transacting with spread cost utilizing NFC technology and mobile phone payments systems like ApplePay and AndroidPay. Our partnership with Billing System also reflects the [REIT] opportunity we're seeing internationally. OTI's plan is to leverage strategic channel partners like Billing System to effectively penetrate international growth markets. We are making very good progress with new major global partners in the smartcard readers industry including with world leaders that due to confidentiality reasons cannot be disclosed at this point. Such partnerships are yet another important validation of OTI's technological leadership. We're confident this collaboration will significantly expand OTI's reach into this new end markets. We believe the recent advancements in the retail payment market will drive faster and wider adoption of NFC technology as well as demand for OTI's products. During the second quarter we were one of the first vendors worldwide to integrate our unattended NFC technology with the new AndroidPay to support retail mobile payment and customer loyalty programs. For those unfamiliar, AndriodPay leverages the NFC functionality already available on most Android based phones. When supported in an NFC reader or payment terminals like OTI line of certain readers the integration enables Android users to make payments and redeem loyalty cards for offers in a seamless and secure transaction. More than 300,000 existing OTI NFC readers in North America already support AndroidPay and ApplePay. This includes both point of sale and unattended self-serve terminals and vending machines. Now with the launch of AndroidPay coupled with the growing ApplePay ecosystem NFC has clearly emerged as the mobile industry's most essential payment technology. OTI is positioning itself at the forefront as one of the most trusted and well established leaders in this space. According to industry search firm the Insight, by 2019 there will be more than 75 million unattended self-serve and attended point of sale locations that will be NFC reader enabled globally. OTI is well positioned with one of the most comprehensive lines of NFC readers on the market to support the industry's upgrade cycle and adoption of NFC technology. In fact OTI NFC readers currently account for approximately 50% of the readers installed on the 560,000 connected vending machines currently in North America and while we have a strong presence in North America, there remains another 5 million vending machines in the U.S. market alone but are not yet enabled with NFC. This presents a tremendous growth opportunity for us even before including the self-serve kiosks, ATM and gaming machine markets that are currently evaluating NFC readers. We continue to make meaningful progress with several new customers across all of our markets and geographies, however as we indicated in our last call, the typical process of securing new multi-million dollar customer starts with initial test followed by initial field deployment and only then the customer places the commercial side order. We continue to work with several prospective customers in various stages of the sales cycle and expect to be able to announce new wins in due time when all the corresponding stages will be concluded. We continue to promote our WAVE device in the mass transit market together with major players such as Cubic and others. Some of these projects involve participation in ongoing tenders and we hope to be able to report progress this year once the tender processes are concluded. In our Petroleum segment we continue to secure new customers and expand into new territories including new first commercial orders in Asia, which we believe will lead to a wider deployment in this region. In our Parking segment we're adding new cities to our existing projects in Israel, Norway and France including expanding into the untapped opportunities in the emerging markets where we are teaming up with local parking operators to step up the value chain with full parking management solutions for longer construction agreements. Our MediSmart service is also gaining very good momentum in Eastern Africa with more deployments, following extensive sales efforts of our local partners. In our mass transit ticketing activities in Poland with our subsidiary [indiscernible], we're deepening our penetration into the existing projects while walking on possible expansion into additional cities. Our newly launched telemetry controller device, CONNECT 3000 is receiving a warm welcome from the markets both for vending machines and other unattended environments. We believe our best price per performance for this new solution will allow us to increase our sales to existing customers as well as to open new markets for the company. Our new Uno device is also receiving the warm welcome in the market given its small form factor, high deployment versatility and attractive pricing. We already supported our important tests around the world with first tier potential customers. Now with that I would like to address the questions we have received from investors and analysts regarding the NFC market and OTI sales perspectives. Received a series of questions from Josh Elving who asked, can you tell us about your opportunity to generate retail sales in Japan over the next several years? When will you have a product capable of processing Felica and NFC based mobile transactions? When do you think you might take your first sale in Japan? Josh, as noticed before, the opportunity for NFC readers in Japan is mainly due to the existing contactless technology which is the unique local standard that does not conform with the international EMV standards. Following the adoption of NFC as the de facto standard by Apple Pay and Android Pay, the Japanese market is currently looking to change the infrastructure so it can support the international standards. The agreement we signed with Billing System is now opening big opportunities for OTI in this important market. We see a genuine interest from some of the large players in all of our retail market products including TRIO, Uno, CONNECT 3000 and WAVE. In parallel we are making good progress with some large prospects in selling our existing products. We are also working very diligently to support the Japanese local standards Felica, so that we can also payment rebills that are also backwards compatible. We believe that OTI can become an important player in the unattended NFC market in Japan. It should also be noted that some of the Japanese prospects were well known international brands who we cannot disclose at this point in time due to confidentiality reasons, are interested in the OTI rebuild for deployment outside of Japan. So, together with our local partners we're doing our very best to secure first orders soon. And finally Josh asked, what can you tell us about your opportunity to sell a telemeter product alongside side the [indiscernible]. Have you had telemeter sales yet and has there been any feedback? Josh we are very pleased with the feedback and warm welcome we have received from our new telemeter controllers Connect 3000. This feedback is from both our existing customers and new prospects. The need in the market is for packaged solution which includes a reader and a telemeter controller. So far our customers had to sell the telemeter elsewhere and now they can procure it from one trusted vendor. This results in additional cost saving for them which is yet another motivation for them to source it from OTI. We believe that our packaged solution is better and cheaper than most solutions in the market. We supplied first prototypes in Q2 and we are preparing to deliver first commercial orders in Q3. With this new product we hope to achieve a significant amount of upsell alongside our readers. Furthermore we have already received keen interest from other new prospects who are interested in the capabilities of the telemeter alone. We believe this will further increase our addressable markets for this new product. The next three questions are from Mike Latimore from Northland. Mike asks, having success in ATM or attended retail sector sales in Q2. Mike, ATM is certainly another market we are analyzing and planning to position ourselves as a key player in, as we are doing in the vending machine market. However we cannot provide any more details in this point of time and publicly disclose specific existing or future strategies. Mike's next question, any further development needed around Connect before widely applicable? We are concluding the basic development of this product, there are of course some adjustment and additional development work that needs to be made but the majority of the R&D work is completed. Mike's final question, can you describe more the two new channel partners you mentioned in the press release, when might they start generating revenues? Mike, Billing System in Japan mentioned before is one of these channel partners and we are working very closely with them to meet the specific demands of the Japanese markets to allow us to start sale as soon as possible. Due to the confidentiality reasons we cannot disclose publicly the other channel partner at this time other than to say that this is an internationally known vendor in our industry. We are working closely with this channel partner as well to introduce our products to as many major prospects as possible. We hope that such new channel partners and others we have approached will form a wide access for us into the global markets. Our next question comes from Michael Fitz, another private investor who asks. The recent ApplePay launch on the 14th of July 2015 in the United Kingdom was widely anticipated. The OTI e-readers sales process comprised three phases. One, purchase of software tools, integration session, three, small orders to test solution. With the customers' three phased lead time in mind, was OTI Z by the UK distributor already in the test phase process with any potential customers, ahead of the Apple announcement. That's a great question Michael. Our distributor is focused on attended machines where you need to supply not just a contactless reader but rather a full payment system. Currently we're in the final stage of the certification process of the full payment system and anticipate it will be operational once the certification process is finalized in the next few months. The payment system will support MasterCard, Visa, ApplePay and potently Oyster card] as well. Michael would also like to know the Insight estimates there're 560,000 connected vending machines currently installed in North America. OTI Z confirms the NFC readers account for about 50% of this unattended machines. What year did OTI Z commence supplying the North American vending machine market. Michael, OTI began supplying its readers to the North American vending machine market in 2008. However the major breakthrough came in the last three years when it became evident that NFC technology is going to be the preferred mobile payment method in the industry. Most of our installations to date have included the support for both traditional magnetic stripe and new NFC interfaces as part of our certain 6500 products. The market requested us to add support for the contact ENZ chip guards which is our [indiscernible] product. Eventually we believe that all those several leaders mainly from a security standpoint the [indiscernible] cards will completely disappear and the dominant payment method will remain ENZ based led by contactless NFC. While some people were expecting this to happen with a dramatic overnight shift, we know that this is more of a lengthy process. Eventually the payment industry must migrate to the more secure chip based payment solution with sufficient encryption methods. In this regard, OTI has been preparing for this opportunity over the last two years, including refocusing the business and then wresting the non-core activities as well as developing and suspecting our products to meet the industry's demands. Our team has complete confidence that OTI will see the fruits of this investment as the market develops. Those are all the questions we received regarding our sales prospects and target markets. As many of you know last week our board appointed my successor Shlomi Cohen, will officially begin his position as CEO tomorrow August 11. Shlomi is a talented and accomplished executive who have the right set of skills and experience to take OTI to its next level of growth and development. Shlomi?
Shlomi Cohen: Thank you, Ofer, it's a pleasure to have this opportunity to address our audience today. I would like to thank Ofer as well as the board of directors for assisting in a seamless sea of our transition. Working together we have already established number of strategies and initiatives that I plan to immediately implement or carry forward designed to build upon the strong progress OTI has made over the last two years. Before I discuss my key initiatives and objectives as CEO I would like to comment briefly on my background, what attracted me to this position and what I have learned in my first few days at the company. Prior to OTI, I served as President and CEO of RayV technologies, leading developer of online video-streaming solutions. RayV has successfully acquired by Yahoo last year. Before RayV, I was President of EMEA for NICE Systems, a public traded billion-dollar software company. I've also as an executive served position with number of leading technology companies including Nokia and Siemens. During the CEO search process I had opportunity to conduct my own diligence on OTI through the process it was apparent that OTI had world-class engineers, a robust pattern portfolio and a tremendous opportunity to capitalize on the dynamic and the fast growing payments markets. I'm highly confident OTI has arrived at an inflection point in its development with a strong outlook for growth supported by our NFC technology. Along those lines OTI's technologies has been widely accepted and proven in the field. During his tenure, Ofer did a tremendous job restructuring and realigning the company's operations to take advantage of the company's core strength. So, now in the next stage of development we've planned to cost-effectively accelerate our roads by leveraging our well established global partnership and world-wide distribution channels allowing us to further penetrate existing market as well as enter new ones. Additionally I will see opportunities to further maximize the value of our non-core assets including intellectual property as well as continue to pursue meaningful non-employee related cost cutting and depreciation of OTI's technology and solutions. Given the tremendous global market opportunity for NFC which was rightly strengthened by the adoption of the wireless transaction technology by Apple and Google, OTI presented and proven NFC technology is well positioned to generate long term revenue growth and reach profitability. I strongly believe the key to our success going forward will be our ability to expand our global partnership and distribution channel and leverage their capability. And this will be a very efficient way to grow our business quickly and cost effectively. Over the last two years, the company has done a good job at securing new partnerships with global organization such as Cantaloupe in the North American self-service market to support and help drive these global initiatives. I will leverage my global sales experience and long standing industry relationships. My second initiative is to rationalize the company's research and development efforts. This includes the reviewing the debt of our product line and then carefully evaluating opportunities that can leverage our software base solution in the markets we serve. My third key initiative is to continue optimizing our cost structure to better align with our revenue base and in particular we realize operational efficiency non-employee related areas, altogether we expect this initiatives will be fully implemented by your end. To be sure, the three key pillars of our success will continue to be our strong technology platform, our world class customers and partners and for us most important of all, our dedicated and talented team of employees. I believe we are well positioned to capitalize on the multi-billion dollar cashless payment market. A market that continues to evolve and expand. I look forward to working with our customers, partners and employees to realize the potential of OTI's NFC technology that has already delivered million of secured transactions around the world. Given this tremendous market opportunity coupled with our renewed focus and highly capable team I believe OTI is positioned to deliver long term revenue growth. Now with that I would now like to address the questions we received regarding our strategic initiatives. Our first question is from Ed Schwartz who actually has a series of questions relating to the OTI sales and servicing. First question, what steps in the company taking to improve and accelerate the growth of sales. How do you plan to motivate sales force, how do you plan to fund any efforts to improve the sales force and how will this impact your bottom line. Ed, one of my top priorities from day one is to evaluate and restructure the entire sales force which is currently relatively small and lacking certain skills. In order to accelerate the pipeline. Additionally I plan to add in the new future an experienced marketing team members to more effectively support and expand our sales initiative. Additionally I am evaluating all of our technologies determine what is core and noncore. This will help to reduce the internal noise and distractions and as you mentioned focus our sales and marketing activities and energy in our core business. Now we will approach Arie Rubinstein our Legal Counsel for few questions. Arie.
Arie Rubinstein: Thank you, Shlomi. And the next question related to two patents [recently released] for OTI. The patents referenced are, patent number one, nano 53375 with the title NED. The contactless bidirectional [indiscernible] and patent 8763914 which is entitled, and the next question is both patents have the same title. In layman terms please describe the purpose of these two patents. Well generally we are not providing such information however generally speaking and without getting into technical detail both patents deal with the same topic of [indiscernible] of two contactless cards on the [indiscernible] which are transparent to each other. The latter patent provides certain enhancements over the first one. Ed's next question is, since the fall of 2014 it has been the policy of OTI's board of directors not to communicate without the actual holders [for analysts], since the two directors who recently resigned are involved in other business activities without the Chair of the Board Mr. Singh, how does Mr. Singh plan to continue this board policy? Further question from Ed is, that in a recent form for SEC filings a number of shares that Mr. Singh owned and/or controlled had significantly decreased, does Mr. Singh plan to add more shares and if so when? Well if OTI has been providing its shareholders the information it is required to provide under applicable securities laws. We are advising Mr. Singh that he currently has no business activities with the two board members who recently resigned other than his dealing with them in connection with [indiscernible] acknowledgement of the board or officers of OTI. To me now the disclosure policies of many public companies that are trading in the US allow only the company's most senior executives to communicate on behalf of the company and no directors are allowed to do so. We believe this is an appropriate policy also for OTI although we reserve the right to change this policy in the future. OTI private communication with its shareholders in compliance with the regulation 50 and other securities laws and we’ll continue doing so. So accordingly and [indiscernible] for privacy reasons the board and the company do not and will not comment and will publicly disclose what any board of directors or any officer, employee or company shareholder will do in the future with his or her company securities. Having said that, any board member or executive who will make a confession in the company securities is expected to report on the floor such transaction in full compliance with SEC regulations and applicable law. And now we'll turn the call for any additional questions from Ed to Shlomi. Shlomi?
Shlomi Cohen: This is another question, in a recent conversation I had with Ofer I asked him are you making any money in Poland? His response was we are just breaking even. How do you plan to turn this [indicating] program into profitability and moreover why did you enter into a contract that was not profitable? Asik our Polish subsidiary is profitable. It’s important to understand that the nature of Asiks project involved an upfront investment in infrastructure of tickets machines and readers that are forming the basis for a good ongoing stream of recurring revenues. In general we don't enter into any project if we believe it will not be profitable and within this specific market in Poland which probably has the most efficient operation. Once the sufficient amount of infrastructure is installed in the field, the recurring revenues start to flow in. As we have noted in the past we are looking for options to expand this operation to more cities in Poland and if possible to maybe expand elsewhere but all based on maintaining profitability. That being said Asik along with all of our business units is part of my overall evaluation of what businesses and technologies are core to OTI's success going forward. I believe I will soon be in a position to answer this stuff accordingly and accurately. Another question needs to be answered by our legal counsel please.
Arie Rubinstein: Final question is was [indiscernible] causing the selection of your new CEO and if so what was their involvement in key selection. Well no [indiscernible] was not involved, the CEO search was conducted by an executive search firm and fully vetted by all board members. Our next question is from Mani Caren, a private investor who asks, can you update us on the [indiscernible], do you have any expectation or estimates to the amount of the expected payout if OTI wins the judgment? Will it be around $1 million or $10 million or $100 million? Well, I can just say that we expected jury trial to start on November 30, 2015 and we cannot make any further comment on the trial at this point in time for obvious reasons. Now I will turn the call to Shlomi.
Shlomi Cohen: Another question from Josh, what is the biggest need to be addressed at the company and what do you see is the company's greatest growth opportunity? Thanks Josh, without doubt we need to allocate the most resources to the sales and marketing team in order to better accelerate our sales and the marketing activities, it is a challenge for many reasons but that's certainly doable. Other than the U.S. market, the other growth engines for us are coming from two regions that I believe we did not touch enough so far. Europe and APAC, both are very dynamic and fast growing market and with our line of leading products I believe it is a perfect match. Another question from Josh, can you tell us more about the securing of new strategic partnership that was mentioned in the earnings release? At the moment we cannot expose their potential strategic activities that we are working on due to confidentiality reason. As you know it is a long process and we will face some positive progress. We will update you and public accordingly in due time when we will be able to do so. However at the moment from my point of view nothing is secured. Finally, Josh asked, when do you expect to go back to live Q&A on your conference calls? Josh, we used to have in the past and our intention is to restore them as soon as possible. The next couple of questions are from Mike Latimore. When might we hear the results of the strategic review? Well Mike, thank you for the question, as soon as we will have something to share with public, we will. Another question from Mike, Do you intend to intensify your patent association efforts? I'm currently starting [the subjects] but in any case we will not make any public announcement on anything related to our patent strategy. Another question from Mike, will you announce larger orders in hand to those needs to occur in next month or so to enable company to grow for you? Yes as soon as we will have large orders in hand we will announce them. Last question from Mike, what is the most important driver of second half growth versus first half? I believe that most important and new driver for second half will be the expansion of the Uno and the telemetry controller sales. Our next series of questions are from Kurt King with Harvest Capital Strategies who's asked, last week press release mentioned you intend to do a comprehensive review of OTIV operations and business strategy. How is this different from the strategic review performed by [indiscernible]? Will there be particular areas of focus in your review, what is your timeframe for completing your review? Well, Kurt thanks for the question, one of my top priority is to evaluate OTI's entire operations, sales and marketing activities. The emphasize will be on sales and marketing, ensuring that the current infrastructure is able to support it. In general as I mentioned before we will invest major airports in APAC and EMEA as well as accelerating our work force in the North American markets. Part of these activities are based on their recommendations by [indiscernible], however at this point of time, only few days after joining OTI, it is difficult to estimate a timeframe but I believe that within six months the infrastructure part of this process will be finalized. Another question from Kurt, the press release also mentioned you intend to reinvigorate the sales force, what is your assessment of the current sales organization and what's really reinvigoration entail? As I mentioned in my previous answers, sales and marketing will be my top priority with the intention to put it in investment. The last question from Kurt, based on what you know at this point what is your confidence that OTI's be future strategy can be executed without the need for additional capital? Based on my initial evaluation I believe that we will be able to execute our strategy without the need for additional capital. Final question is from William Zebo of Blue Mountain Capital. There seems to be lack of fiduciary responsibility when it comes to shareholder value. The company has already been involved in a long term commitment to shareholders value which has yielded into temporary results which has led to even worse performance than at any time in the company's history. We are in a sweet spot in NFC history. Companies like [Ustart] have increased and have strong gains and look to push higher, while OTI has dropped off the mass weeding out almost all value. What can OTI do today, not next week, not next month and not next year but today to start reversing and increasing shareholder value? Thanks for the question. Based on my current allowances my immediate plan is to announce our sales activities. Those are all the questions we received, thank you for your insightful questions and continued support. If you have further questions please contact us directly or through our IR team, lead you through using the contact information provided in today's press release. Now with that, I would like to turn the call back over the operator who will provide the closing remarks. Operator?